Operator: Good morning. Thank you for attending the Clarivate Q2 2024 Earnings Conference Call. My name is Alyssa and I will be your moderator today. All lines will be muted during the presentation portion of the call with an opportunity for questions-and-answers at the end. I would now like to pass the call to our host, Mark Donohue, Vice President Investor Relations. Please go ahead.
Mark Donohue: Thank you and good morning, everyone. Thank you for joining us for the Clarivate second quarter 2024 earnings conference call. As a reminder, this conference call is being recorded and webcast and its copyrighted property of Clarivate. Any rebroadcast of this information, all or in part without prior consent of Clarivate is prohibited. The accompanying earnings call presentation is available in the Investor Relations section of the company's website. During our call, we make certain forward-looking statements within the meaning of the applicable securities laws. Such forward-looking statements involve known, unknown risks, uncertainties, and other factors and may cause the actual results, performance, or achievements of the business or developments in Clarivate's industry to differ materially from the anticipated results. Performance, achievements, or developments expressed are implied by such follow-looking statements. Information about the factors cause actual results to differ materially from anticipated results. Reforms can be found in Clarivate's filings with the SEC and on the company's website. Our discussion will include non-GAAP measures or adjusted numbers. Clarivate believes non-GAAP results are useful in order to enhance an understanding of our ongoing operating performance, but they are supplemented too and should not be considered by isolation from or as a substitute GAAP financial measure. Reconciliation of these measures, the GAAP measures are available in our earnings release and supplemental presentation on our website. With me today are Andy Snyder, Chairman of the Board, Jonathan Gear, Chief Executive Officer, Matti Shem Tov, our new incoming Chief Executive Officer, and Jonathan Collins, Chief Financial Officer. After our prepared remarks, we'll open up the call to your questions. And with that, it's a pleasure to turn the call over to Andy Snyder.
Andrew Snyder: Thanks, Mark and hello, everyone. Thanks for joining us this morning. With today's news, I'd like to first take this opportunity to thank Jonathan Gear for his leadership at Clarivate. I know I'm speaking for the entire board when I say we are grateful for Jonathan's many contributions to the company. Jonathan joined Clarivate during a challenging time for the business. During his tenure, he has been instrumental in restructuring and strengthening our organization, laying the foundation for the next phase of Clarivate's value creation journey. We've had many productive conversations and Jonathan and the board have determined that now is the right time to transition the leadership of Clarivate. We're grateful that Jonathan has agreed to assist in the transition in a non-executive role after he steps down as CEO. I want to be clear about one thing. The foundation of our businesses is strong and our future remains bright. Over the past three years, I've had an up-close view into Clarivate's operations strategy and growth opportunities as a member of the board. It's clear to me that we have a tremendous senior leadership team and that there are many growth opportunities ahead. Looking ahead, we are very pleased that Matti Shem Tov will be joining Clarivate as our next CEO. He will be an important driver of the long-term success of Clarivate. I've had the privilege of working with Matti at ProQuest where he was CEO for nearly five years. I've seen firsthand the positive impact he's had, the driving value across an organization. I'm certain Matti will leverage his deep expertise and people-first leadership style to build on Clarivate's many successes by driving execution and performance to deliver profitable growth, increase product innovation, and drive value creation for all stakeholders. Given Matti's decades of leadership experience, the board and I are confident that he is well-suited to partner with our senior management team to lead Clarivate during the next phase of its growth. With that, it's my pleasure to turn the call to Matti.
Matti Shem Tov: Thank you, Andy. Good morning, everyone. It is an honor to be back at Clarivate. I want to thank Andy and the board of directors for the opportunity to lead Clarivate during the next phase of its growth cycle. As you may know, I ran both ProQuest and Ex Libris for many years, and I left following the Clarivate acquisition of ProQuest in December 2021. Since then, I have been following Clarivate for my fall, but I've been very truly impressed and played a large part in my decision to return to the company. I'm pleased that Clarivate has reorganized into three segments to put extra attention and funding towards innovation and customer engagement. Equally important to me, Clarivate has developed great talent across the organization and has a rich portfolio of world-class industry-leading product and assets. As I rejoined the company, I'm planning to spend time immersing myself back into the business and speaking with colleagues from around the world to gain feedback on how we can become an even better and more effective company. I will also be engaging our customers and partners to understand their needs and how we can better serve them all. I'm confident that with some adjustment, we can build on top of what Jonathan and the leadership team has accomplished and take Clarivate to the next level. I want to thank Jonathan Gear for his leadership while steering the company through the turnaround. And as Andy stated, Clarivate is in a much better position today because of your leadership, Jonathan, and I look forward to working with you during the transition phase. And I’ll pass this over to Jonathan. Jonathan, please.
Jonathan Gear: Great, thank you, Matti, and good morning, everyone, and thanks for joining us today. On our last earning call, I spoke about our success in making the necessary operational and product progress to revitalize our business and set a clear path to achieve our plan. I also reiterated our commitment to create a clear, executional plan to deliver on our long-term growth objectives. With its accomplishments behind us and the incredible opportunity Clarivate ahead, the board and I have mutually agreed that now is the right time for this change. Now, I do want to be clear, Clarivate is in a strong position today. During my time as CEO, we restructured the company into three end market segments and reinvigorated our product innovation investments and commitment to our customers. The changes we made at the company ran to the core of how we operate and included a focus on our colleagues and talent. We have built a tremendous and talented team that is well positioned to steer the company to the next level. I'm incredibly proud of all the work, all our colleagues have done to get us to this point and I feel stronger than ever. The Clarivate's future is bright and the best is ahead. As I step down from my role as CEO and transition into a non-executive role within the company, I will be handing the reins over to Matti this coming Friday. The board and I have full confidence in his ability to lead the company. I look forward to continue to work with Matti to help ensure a seamless transition so the company does not miss a beat. Turning to our second quarter results for the quarter, we delivered slightly better results compared to our previously announced expectations with organic revenue growth down less than 1%. This represented a sequential improvement compared to this year's first quarter. We continue to focus on efficiently managing the business during the turnaround period at Clarivate, which has resulted in solid profitability and strong free cash flow. Jonathan Collins will cover the quarterly results in more detail shortly. We're now moving on to review of our segments starting with academia and government. For the first half of this year, A&G subscription growth increased more than 3%. This was driven by an improvement of our renewal rates to more than 96%, a best-in-class level, driven by the improvements and investments in Web of Science. Transactional sales within A&G have faced some headwinds across digital collections and books due to softer one-time budgets in the recent academic fiscal year. As you remember, we began seeing the softness in Q4 of last year and it has continued now through the first half of this year. Our commercial team is working closely with our customers to maximize the value they receive without impacting their budget needs. We are driving new product innovation and AI functionality by leveraging our deep knowledge and expertise across the A&G marketplace. This will help us to win new business and deliver better performance in the future. Our goal is to drive soft growth above 4% by launching new products in the research intelligence and software space. And I'm pleased to share that we've made great progress within these areas this quarter. We've strengthened our research offerings with a recent launch of AI powered Web of Science Research Intelligence. This is a transformational AI native software solution that will empower researchers to accelerate innovation and research institutions to better measure and showcase the impact of their research. We also launched two new software solutions, Collecto and Specto. Collecto enables librarians to more effectively and efficiently manage collections with improved analytics, unified platform and AI. While Specto showcases all library digital collections through generative AI, improved workflows and guaranteed long-term access. Our focus on enhancing products and creating new solutions is beginning to translate into wins across the marketplace. For example, we won a large statewide multi-year content aggregation deal which displaced a key competitor. We were also awarded a library software deal covering 2000 plus school libraries in Europe. Moving to the IP segment, on our last year's call, I talked about the turnaround within this segment. I am very pleased that we're starting to see improved performance following a challenging year in 2023. For example, year to-date, we have delivered high single digit revenue growth within IP management software. This includes a greater than 80% win rate and large competitive corporate software deals in Japan, which is a key IP market. Our IP management software win rate is an important early indicator for us on future revenues and I'm thrilled to see our win rates improve in the last 12 months based on the changes we have made in our organization and commercial model. The macro environment has also improved which has helped to stabilize trademark search volumes and deliver on a few large scale project wins. The improved performance is expected to drive organic growth across the segment in the second half of this year. We are encouraged by the early signs of a turnaround for Derwent, our patent intelligence product. The product refresh and enhancements are beginning to deliver improved renewal rates, which increased more than 250 basis points compared to the same period last year. On the product development front, we recently launched Trademark Watch Analyzer. This is a next gen protection solution which brings together global trademark and case law combined with our IP expertise and cutting edge AI technology for greater efficiency and accuracy. Our commercial team is learning new business wins. We were recently awarded two multi-year government contracts. [Audio Gap] This tuck-in acquisition supports our focus on providing IP attorneys, AI enabled tools to automate parts of the filing and prosecution process. At our Investor Day in March, 2023, we piloted specific products requiring investments to reinvigorate growth. Since then, we have made tremendous progress within the IP segment on product refresh and the development of new solutions. These new offerings deliver embedded use case specific intelligence to customers which opens us up to new sales opportunities and a greater share of budgets. I mentioned this positive turnaround at Derwent following the investments we have made. Derwent Search is in premier quality parts of the market and Search has moved beyond the core legal use cases into other departments. Our product engineering efforts have focused on creating solutions that address these growing needs. We are excited about the development of a new patent watch solution and a suite of R&D solutions, which will be fully available to customers in the first half of 2025. These two new intelligence offerings assist not only IT professionals, but also R&D professionals with improved tools and functionality. This includes proactively pushing the material customer needs to monitor specific items such as competitor activity and infringements. Understanding the patent landscape is becoming more important within the R&D departments globally. With our new R&D tool, which includes conversational AI chat and AI results, we are improving efficiency and delivering better outcomes, which enables companies to maximize ROI on R&D spending. Turning to the life sciences and healthcare segment, externally, we have been impacted by macro headwinds due to tighter customer budgets. Internally, the needs of product refresh and our decision a year ago to shift our go-to-market strategy with real-world data sales has led to a reduction in our revenue. However, we are starting to see the benefits of our product overall with improved performance in international markets and across mid-size pharma. We recently closed a large $1 million plus consulting deal focused on diabetes and obesity. We were also awarded our third sale this year of pharma grade data via our new platform to number top 20 pharma company. On the product development front, we launched Epidemiology Intelligence, a unified platform enabling precise forecasting and evaluation across 5,000 patient populations and over 1,200 diseases and procedures. To drive continued improvement, we implemented a two-weeks-a-year model for key R&D products to revitalize our portfolio around customer needs and return the lifetime healthcare segment to growth. This includes building a growth engine in real-world data and selling directly to pharma and med-tech customers with a focus on the highest quality of data in the market. We have identified opportunities to expand on these enhancements, the quality of the data, and our relationships with customers. With new releases coming later this year, we are starting to see the benefits of our work with the recent wins I just highlighted. We're also building up analytical modules on our RWD platform for around 10 to 20 disease areas that will have high market needs such as Parkinson's, osteoporosis, and COPD. During the second quarter, we launched an out-release of the product. We will continue to enhance the platform based on customer feedback and are targeting a general release in this year's fourth quarter. We're also building out franchises where we are combining our highly enriched patient data with third-party curated genetic data to specifically focus on rare diseases. By integrating the genomic and phonotype data, we enable our pharma and biotech customers to develop new therapies to patients with rare diseases. We're just getting started on this product offering and I expect it will be available for general release in 2025. In closing, I want to thank my colleagues for their loyalty, their hard work, and dedication over the past two years. I also want to thank our customers, shareholders, and our board for their support. I will be clarifying it on the right trajectory forward and the efforts to improve the business will begin to be rewarded in the coming years. With that, let me now call over to John Collins to walk you through our financials.
Jonathan Collins: Thank you, Jonathan, and good morning, everyone. Slide 15 is an overview of our second quarter and first half financial results compared with the same periods from the prior year. Q2 revenue was $650 million, a decrease of $19 million compared to the prior year, bringing the first half to $1.27 billion. Most of the second quarter decline was due to the valley-path divestiture and the stronger U.S. dollar. The second quarter net loss was $317 million, $175 million lower than last year due to the non-cash goodwill impairment charge recorded in the LS&H segment. This was also the primary driver of the first half net loss of $411 million, down $294 million over last year, as the higher impairment was amplified by favorable legal and tax settlements in Q1 last year that did not recur this year. Adjusted diluted EPS, which excludes the impact of one-time items like the impairment and these settlements, was $0.20 in Q2, a $0.01 decline over the same period last year, bringing the first half to $0.34, down $0.05 over the prior year due to lower adjusted EBITDA and higher depreciation and amortization expenses from our increased investments in product innovation. Operating cash flow was $126 million in the quarter, a decrease of $36 million over the second quarter last year, taking the first half to $302 million, which is down $88 million over the prior year. The decline is almost entirely driven by timing differences in working capital as the lower adjusted EBITDA was offset by lower one-time costs. Please turn with me now to page 16 for a closer look at the drivers of the second quarter, top and bottom line changes from the prior year. On our Q1 earnings call in early May, we indicated the business would decline organically by about 1% in Q2. However, our results came in slightly above those expectations at a negative 0.6%, lowering revenue by $4 million. Our subscription business grew at just under 1% compared to growth of more than 2% in the prior quarter. This sequential decline is largely driven by first quarter renewals that were on time this year that were renewed late and came in during the second quarter of last year in our A&G segment. Our first half subs growth of 1.5% accounts for this timing difference and is in line with our organic ACV growth. Our non-subscription products declined 2.5%, which was a sequential quarterly improvement of about 600 basis points. Operating expenses were essentially flat, yielding a $4 million decline in adjusted EBITDA on the organic revenue change. We experienced an inorganic decline of $9 million on the top line and a $4 million decline on the bottom line due to the valipat divestiture, which was nominally offset by the acquisitions of MotionHall and Global Q. Foreign exchange lowered revenue by $6 million and profit by $3 million, as the U.S. dollar was stronger than a basket of foreign currencies, namely the Euro and the pound, compared to the same period last year. Please turn now to page 17 to step through the conversion from adjusted EBITDA to free cash flow. Free cash flow was $60 million in the second quarter, a decrease of $44 million over the same period the prior year, driven largely by timing differences in working capital. This brings first half free cash flow to $172 million, a conversion of 34% on adjusted EBITDA, which is about five percentage points lower than our full year expectation due to the timing of our working capital records. One-time costs decreased by $8 million in the quarter, nearly offsetting the adjusted EBITDA decline as acquisition integration activity has abated. Interest in taxes were generally in line with the last year. Working capital was a use of cash of about $30 million in Q2 versus a $7 million source in the same period last year, primarily due to timing differences in receipts from customers. Capital expenditures were up about $8 million as we continue to invest in product innovation. We used most of our free cash flow in Q2 to pay the final dividend on our preferred stock, which converted to common stock on June 3rd, and to complete the Global Q acquisition. Please move me now to slide 18 for a look at our guidance ranges for the full year, which remain unchanged. We are reaffirming the guidance ranges we initially provided at our year-end earnings call in February, and then affirmed in our first quarter results call in May. Beginning at the top of the page, we now expect full year organic growth will likely be below the midpoint and in the lower half of the range. In Q3, we expect a return to growth in a range of flat to 1%, representing a sequential quarterly improvement of about 50 to 150 basis points. We still expect revenue near the midpoint of the $2.57 billion to $2.67 billion range, as the lower organic growth will likely be offset by improved foreign exchange due to the recent weakening of the U.S. dollar that we anticipate will remain for the second half of the year. Moving down the page, we still expect adjusted EBITDA and profit margin near the midpoint of the ranges at about 1.85 billion and 41.5% respectively. We continue to anticipate diluted adjusted EPS near the midpoint of the $0.70 to $0.80 range. And finally, on the bottom of the page, we anticipate free cash flow will likely come in towards the lower end of the range, primarily due to modestly higher working capital requirements as we return to organic growth in the second half of the year, driven by our non-subscription revenues, as well as slightly higher capital spending as we invest to accelerate organic growth. Please turn with me now to page 19 for a closer look at our expected organic growth trajectory as we move into the second half of the year. As Jonathan mentioned just a few moments ago, subscription revenue growth in A&G, our largest segment, was strong in the first half of the year at more than 3%. However, in both the LS&H and IP segment, subscription revenues declined slightly in the first half as they faced the market and product pressures that we've previously discussed, such as the real world data channel strategy change and the patent intelligence replatforming. While we originally expected full year subscription revenue growth would be greater than 2%, we now anticipate it will be less than 2% as these two segments are tracking slightly behind the projected pace of recovery. Given we expect the first and second half subscription growth to be relatively consistent, the anticipated inflection in organic growth will be driven by our non-subscription revenues. Reoccurring revenue is expected to return to growth of about 3% in the second half of the year, bringing the full year to flat. This is driven by lower volume comps, onboarding new customers, improved retention of existing customers, and patent renewals in Q4 driven by the announced price increases at the US PTO in Q1 of next year. We originally expected this revenue type would grow by about a percent. However, lower FX volatility, slightly lower industry volumes, and the delay of the PCT award at the US PTO have lowered our expectations to about flat for the full year. We continue to anticipate that our transactional revenues will return to low single digit growth in the second half of the year, trimming the decline to low single digits for the full year. A&G's transactional growth is expected to improve in Q4 as we see lower comps as demand softened in the same period last year. We also lapped tougher transactional comps in Q4 in our LS&H segment, and in IP, we've been awarded key projects that are expected to deliver in Q4 and anticipate stronger demand and trademark surge. The chart on page 20 outlines the drivers of the expected full year top and bottom line changes from the prior year. Organic growth of less than 1% would add closer to $10 million to the top line, but will not fully offset higher operating expenses, leading to modestly lower profit dollars and margin as we remain committed to investing in product innovation that we believe will accelerate organic growth in the coming years. The inorganic impact from selling Valipat, which closed in April, netted the small impact from the MotionHall, Global Q, and Rowan acquisitions, will deduct about $30 million of revenue and about $15 million of profit this year. We now anticipate foreign exchange translation will be neutral on the top line, but will be a headwind of about $10 million on the bottom line, as last year's transaction gains are not expected to recur this year. These changes to adjusted EBITDA account for nearly half of the expected change in free cash flow compared to last year. And I'll now turn the page to 21 to step through some of the other items. One-time costs are expected to continue to decline this year to $40 million, an improvement of $20 million over last year as the large acquisition integrations are behind us. We expect cash interest to decrease by about $10 million on last year's deleveraging and the refinancing of our term loan being in the first quarter. Taxes will increase by about $15 million due to timing of payments and jurisdictional mix. We now expect the change in working capital this year will be a modest use of cash, which will fund the non-subscription revenue growth weighted towards the fourth quarter. We are investing in product innovation and plan to raise capital spending by about $30 million this year, the fuel organic growth over the next couple of years. The net impact of these changes is that free cash will likely come in near the low end of the guidance range. As we look towards the second half of the year, we now intend to take a more balanced approach towards capital allocation, where we'll look to opportunistically repurchase shares at attractive prices and execute both on M&A that will help accelerate growth as opposed to primarily deleveraging. In closing, page 22 provides a brief reminder of our financial priorities. Our primary aim is to accelerate our organic growth to mid-single digits in the coming years. In order to achieve this objective, we remain committed to our capital spending, which is elevated to about 10% of revenues in order to fund a new level of product innovation. Our second goal is to maintain durable profit margins as we make the investment to accelerate growth. We are committed to providing the resources to drive product innovation in all of our businesses while keeping our margins in the low 40s. The third objective we outlined was to become an attractive pre-cash flow engine, which we've progressed by maintaining a conversion on adjusted EBITDA near 40%. And finally, we remain to allocate our capital in a disciplined manner. We've shifted our near-term focus from primarily deleveraging to a more balanced approach, where we'll look to utilize a portion of the board's existing authorization to repurchase shares opportunistically at attractive prices and to execute both on M&A, like the recently announced Rowan acquisition that will provide new organic growth vectors in our existing markets. I want to thank all of you for listening in this morning. I'm now going to turn the call back over to Alyssa to take your questions. And as a reminder, please limit yourself to one question and then return to the queue for additional. Alyssa, please go ahead.
Operator: Thank you. We will now begin the question and answer session. [Operator Instructions] The first question is from the line of Toni Kaplan with Morgan Stanley. Please go ahead.
Toni Kaplan: Thank you so much. You talked about life science and healthcare needing to improve in the second half and there's a backlog of larger projects. In the current environment where you've seen these tighter budgets, I guess how should we think about the confidence in delivering on these projects versus maybe them getting pushed out to next year? And any color on sort of the win rate you're expecting with these versus what's needed in the guide? So win rate on large projects within LS&H now versus what's needed to meet the guide.
Jonathan Gear: Thanks. Sure, thanks Toni. This is Jonathan. Yes, in the second half of the year, from the areas that we've seen some pressure, actually our consulting practices held up pretty well. We have pretty good line of sight in there to the project backlog through the balance of the year. And the fact that Q4 of last year was a bit softer certainly helps on the comp. So, I think that's an area where we have a pretty decent line of sight and feel pretty comfortable that even in an environment where budgets are tighter, that's a part of the business that's going to hold up reasonably well in the second half of 2024.
Mark Donohue: Thank you, Toni. Next question, please.
Operator: The next question is from the line of Manav Patnaik with Barclays. Your line is now open.
Manav Patnaik: Thank you. Good morning. Firstly, Matti, welcome back, looking forward to talking again and Jonathan, hopefully our paths will cross again. But I was just hoping, you know, Andy, if you could maybe just help us a little bit more with the CEO change. I think all of you have said in your prepared remarks that Clarivate is in a very strong shape, ready to grow. It seems like everything's looking upwards. And, Matti has a strong background in the A&G segment given its history. But just a little bit more color and what does this say about the other two segments going forward, please?
Jonathan Gear: Yeah, thanks, Manav. Thanks for the question. Good to connect again. Look, I think, first I'd say Matti's background while it is, you know, he's got great familiarity with the A&G segments. He's also demonstrated just a proven ability to drive execution and performance across businesses. And while we're -- I think we spent a lot of time with Jonathan just talking about what's next for the business and came to a mutual agreement that this was the right time for a transition. And really we're focused on exactly that, which is driving execution and performance across the businesses, across each of the businesses. And we think, you know, Matti's really well-positioned to help drive that across the company.
Mark Donohue: Thanks, Manav. Next question, please.
Operator: The next question is from the line of Surinder Thind with Jefferies. Your line is now open.
Surinder Thind: Thank you. In terms, just strategically, as we look ahead, is the idea to be more product focused, faster product cycles. And then just maybe any color and the fact that it sounds from the commentary that there's a lot of product coming in 2025 and how we should think about that translating to growth?
Jonathan Gear: Maybe I'll comment on the first piece. Yes, I actually feel very good about the -- I'll take a step back, Surrender. One of the key themes coming in here two years ago when I came was the need to focus more on innovation and invest ahead of growth. And we've been doing that across all three segments that you and I have discussed the last two years here. What we're seeing now is that innovation is beginning to bear fruit in terms of new product launches. We saw, as we know, first, we did the Web of Science improvements and the impact of the investments there showing up the turn of that product. We're seeing it now with some of the examples I gave in the presentation today in IP and in life science and healthcare. And I think of it as a building wave. And this wave has been building the last couple of years. We saw early wins in A&G. We're beginning to see improvement in terms of Derwent renewal rates. This first half of the year again built on this. So I would expect this wave to continue. And on the back of innovation is going to be higher customer engagement, and as a result, increasing revenues. And this is core certainly to the improvement in the long-term plan we've talked about in the past. Do you Want to add, Jonathan?
Jonathan Collins: No, it's great.
Jonathan Gear: Okay, that's great. Thanks so much.
Mark Donohue: Thanks, Surrender. Next question, please.
Operator: Next question is from the line of Shlomo Rosenbaum with Stifel. Your line is now open.
Shlomo Rosenbaum: Hi, thank you very much. I just wanted to talk a little bit about Derwent and just the whole overall IP growth trajectory. And it seems like at least the private companies in this space seem to be having more success based on at least some comments that I've heard from them. And I'm wondering if you feel that you're just losing ground competitively over there. And if so, do you feel like that's being turned around? And then I just thought I would ask Matti to just comment a little bit about his confidence in being able to execute on the growth plan or whether he thinks there's going be a complete strategic review and maybe come out with a different plan to the street?
Jonathan Gear: Great. And this is Jonathan. I'll go ahead and comment on this. So, I mean, your comments on IP are great. I feel unbelievably confident in the turnaround of the IP business in particular. I think your comment on losing ground. That was certainly true two years ago. And in my comments today, I talked about our improved win rate on IPMS, the 80% competitive win rate in Japan. Frankly, two years ago, we were on our back heels, now we're on our toes. And that is a critical early indicator for us in IP. When you win an IPMS system, you implement an app for 12 months, then you get back revenue. But then it gives you a far greater likelihood of winning the much larger annuities on back of that. So this is something which fancy hurt us two years ago when we were losing some of these IPMS systems. We're now winning more than our fair share. It does take 12 to 18 months that's converted into revenue and it's totality of the opportunity. But I feel this unbelievable confidence in what Gordon and the team have done leading IP with more to come there. And then I'll probably intercept your question for Matti. Let's give Matti 90 days to kind of get his head around the business and then he can come back in his call and kind of comment on his views. Thank you.
Mark Donohue: Thanks Jonathan. Next question, please.
Operator: Next question is from the line of Heather Balsky with Bank of America. Please go ahead.
Q -: Good morning. It's Wahid Amin on for Heather. I want to dial in on ACV. As you're adding more products, seeing new client wins, what level do you expect ACV to grow and what more can you do in the space to grow that metric?
Jonathan Collins: Yes. That's a great point, Mikey. This is Jonathan Collins. As we move into next year, and we touched on this just a moment ago, the investments that we're making in product that are coming into general release in the second half of this year are products that should generate subscription revenues. So we do expect to see the benefit in ACV as we move into next year. And just as a reminder, Jonathan walked through the four different applications for personas that we'll be serving in patent intelligence going forward. The first of those will go into general release this year. We expect that to start to help our renewal rates, create great opportunities for upselling of those products as we move into next year. And then also we did a little bit of a double click or a deep dive on the real world data offering. So, as we have the platform available, as we exit this year with over 10 different disease indications that we'll be serving on that platform, that'll be a great opportunity to drive subscription sales as we move into next year as well too. So the acceleration of our organic growth will be led by the subscription business and the investments that we're making in those types of products.
Mark Donohue: Thank you. Next question, please.
Operator: The next question is from the line of Owen Lau with Oppenheimer. Your line is now open.
Owen Lau: Good morning and thank you for taking my question. So, on the more balanced approach to use free cash flow, could you please add more color on how much do you expect for organic growth, M&A, buybacks, and how much would be leveraging? And do you have a new target for your leverage in the near and longer term? Thanks.
Jonathan Collins: Thanks, Owen, this is Jonathan. So what we really want to intone here is that over the course of the past couple of years, the leveraging has been our primary objective within our capital allocation. Now that we've got leverage under four terms, we are pivoting a bit and we see a greater opportunity to repurchase our stock at lower levels. But also it's really important to highlight that we're starting to see green shoots in each of our three segments, where there's an opportunity to put capital to work, to acquire new capabilities that we think will also help to catalyze organic growth in the next couple of years. So I don't have specific numbers for you for the second half of the year, but we want to make sure that it's clear that that objective that we've had to get our leverage under four terms, we've really achieved, and now we see ourselves being in a more flexible position to either buy back stock or acquire smaller businesses that'll help to accelerate our growth.
Mark Donohue: Thanks, Owen. Next question, please.
Operator: The next question is from the line of Andrew Nicholas with William Blair. Please go ahead.
Andrew Nicholas: Hi, good morning. Thank you for taking my question. I wanted to ask a little bit more on guidance. I think on the fourth quarter call, Jonathan, you gave segment level growth expectations. Curious if those have changed meaningfully from earlier this year. And then also, if you could just kind of outline what you're thinking about or embedding in guidance in terms of macroeconomic conditions, whether it's patent volumes, budget constraints, any expected recovery that's baked in or would you need to see deterioration for there to be risk to the bottom end of the guide? Thank you.
Jonathan Collins: Yes, you got it, Andrew. So maybe I'll start with a macro first. I think the area that we've seen a bit more softness and maybe we anticipated at the beginning of the year is within life sciences and healthcare as Jonathan touched on in his prepared remarks. We continue to see budget pressures at some of our largest customers which are very important for this segment. So from a macro standpoint, that's really the only change that we've seen from the beginning of the year. When we think about it from a segment perspective, I really focused the comments on page 19 around the revenue type, but maybe I'll just give some additional color there. A&G's subscription growth is generally going to be in line with what we originally expected. As I mentioned, the slightly lower expectations on subscription revenue are really going to come in the life sciences and IP business and the macro within life sciences is the real driver there. Certainly the reoccurring revenue change, we think we're going be flat now instead of up a percent. That's essentially all in IP. And then our transactional expectations on the full year really haven't moved meaningfully, but that's a little bit of shaping and color on each of the segments and we'll of course give more of an update in a few months as we complete the third quarter. Thank you.
Mark Donohue: Thanks, Andrew. Next question, please.
Operator: Next question is from the line of Ashish Sabadra with RBC Capital Markets. Your line is now open.
Ashish Sabadra: Thanks for taking my question. I just wanted to drill down further on the subscription growth which is now expected to be below 2% due to that softness in the life sciences and IP. Just wondering how much of that has been driven by some of the macro headwind like the budget pressure and how much of it potentially is due to a slow -- like a slower adoption of some of these newer products being launched and equal on those funds? Thanks.
Jonathan Collins: Yes, thanks for that question, Ashish. Within life sciences, it is, we believe it's mostly the macro we think we accommodated for some of the product challenges and investments that we're making there. I think on the IP side, while Jonathan highlighted real strength in Derwent's renewal rates, which is a good leading indicator. The patent intelligence segment is softer than we would have expected products like hemography and Incopat. And as you'll recall, as Jonathan laid out the investment we're making there, Derwent, the search and watch use cases are getting the investment first and Innography and Incopat are coming second or a bit later. So that's probably a product area that we're focused on moving into next year. But yes, really the macro on the life sciences side and then continued work that we need to do in patent intelligence to get the same leading indicator swings from Innography and Incopat that we're seeing in Derwent. Thank you.
Mark Donohue: Thanks, Ashish. Next question, please.
Operator: Our last question comes from the line of George Tong with Goldman Sachs. Please go ahead.
George Tong: Hi, thanks. Good morning. Jonathan, you mentioned that lower industry volumes in the US PTO contract delay were partly responsible for the full year organic growth coming in the bottom half of the range. Can you unpack these a little bit more and whether there were other factors causing you to update your full year outlook for organic growth?
Jonathan Gear: Sure, George. We think about intoning towards the lower end versus the mid, the subscription business we talked about. You're touching on the reoccurring order type. We originally thought that would be up about a percent. We think it's going to be about flat. It's widely publicized. We had won a contract at the US PTO referred to as the PCP. That has been delayed until next year. That's really the primary driver of why we think that the reoccurring order type is going to come in. Just a little bit lower industry volumes and lower FX volatility have had a small impact, but the big driver is the delay of that contract.
Mark Donohue: Thank you, George.
Jonathan Gear: Thank you, George. Okay, everyone again, thanks so much for joining the call this morning. We really appreciate the interest that you have in Clarivate and our remarks. And again, look forward to certainly engaging more with the team and with Matti. And again, congrats Matti for taking that over CEO, is a great company with a lot ahead of it. Look forward to talking with all of you soon. Take care now, bye-bye.
Operator: This concludes today's conference call. Thank you all for your participation. You may now disconnect your lines.